Operator: Good morning, and thank you for joining us today for Select Medical Holdings Company's (sic) [Corporation’s] Earnings Conference Call to discuss the fourth quarter and full year 2011 results and the company's business outlook. Speaking today are the company's CEO, Robert Ortenzio; and the company's Executive Vice President and Chief Financial Officer, Martin Jackson. Management will give you an overview of the quarter highlights and then open the call for questions.
 Before we get started, we would like to remind you that this conference call may contain forward-looking statements regarding future events or the future financial performance of the company, including without limitation, statements regarding operating results, growth opportunities and other statements that refer to Select's plans, expectations, strategies, intentions and beliefs. These forward-looking statements are based on the information available to management of Select Medical today, and the company assumes no obligation to update these statements as circumstances change.
 At this time, I would turn the -- I would now like to turn the call over to Robert Ortenzio. Please proceed, sir. 
Robert Ortenzio: Thank you. Good morning, everyone, and thank you for joining us for Select Medical Holdings’ Fourth Quarter and Full Year Earnings Conference Call for 2011. For our prepared remarks, I'll provide some overall highlights for the company and our operating divisions and ask -- then ask Marty Jackson, our CFO, to provide some additional financial details before we open the call up for questions.
 Earnings per fully diluted share were $0.25 in the fourth quarter and $0.71 for the full year. Full year EPS included a nonrecurring loss on early retirement of debt related to the refinancing we completed June 1, 2011. Excluding this onetime loss and the related tax effect, our adjusted earnings per fully diluted share would have been $0.84 for the full year. 
 Net revenue for the fourth quarter increased 12.7% to $718.4 million compared to the same quarter last year. Net revenue for the full year increased 17.3% to $2.8 billion compared to $2.4 billion last year. During the year, we generated approximately 75% of our revenues from our Specialty Hospital segment, which includes both our long-term acute care and inpatient rehab hospitals and 25% from our Outpatient Rehabilitation segment, which includes both our outpatient clinics and contract services.
 Net revenue on our Specialty Hospitals for the fourth quarter increased 14.3% to $534.2 million compared to the same quarter last year. Increase was driven by both improved occupancy and rate during the quarter. Overall occupancy was 71% in the fourth quarter compared to 66% in the same quarter last year. Our patient days in the fourth quarter increased 8.1% to 336,711 days. Specialty Hospital net revenue per patient day was up 2.5% to $1,494 in the fourth quarter compared to $1,457 per patient day in the same quarter last year. We experienced increases in both our average Medicare and non-Medicare net revenue per patient day in the fourth quarter.
 Specialty Hospital net revenue for the full year increased 23.1% to $2.1 billion compared to $1.7 billion last year. The hospitals acquired in the Regency acquisition contributed 63% of the increase in net revenues for the year. The balance of our Specialty Hospital revenue growth was a result of increased occupancy and rate. 
 Our occupancy rates increased to 71% for 2011 from 67% for 2010. Our patient days increased 18.9% to over 1.3 million patient days for 2011. The full year effect of the Regency Hospitals was the primary driver behind the increase in patient days. However, excluding the effect of the Regency Hospitals, patient days would have increased 6.2% over the prior year. Our average net revenue per patient day was $1,497 for 2011 compared to $1,474 for 2010. The increase in our net revenue per patient day was principally due to increases in our average Medicare net revenue per patient day.
 For the year, approximately 86% of our Specialty Hospital revenue came from our long-term acute care hospitals and 14% from our inpatient rehabilitation hospitals. Net revenue in our Outpatient Rehabilitation segments for the fourth quarter increased 8.5% to $184.2 million compared to the same quarter last year. Revenue on our clinic-based business, including our owned and managed clinics, increased 2.5% in the fourth quarter compared to the same quarter last year. For our owned clinics, our net revenue per visit increased 2% to $104 per visit, and patient visits declined 3.3% compared to the same quarter last year. The primary driver behind the decrease in visit was the transition of our Dallas outpatient clinics into the non-consolidating Baylor joint venture. 
 Revenue in our contract services business increased 29.8% in the fourth quarter compared to the same quarter last year. This increase was a result of the addition of a new group of contracts. During the fourth quarter, approximately 74% of our outpatient revenue came from our owned and managed clinics and 26% from our contract services. 
 Net revenue on our Outpatient Rehab segment for the full year increased 3% to $708.9 million compared to $688 million last year. Revenue on our clinic-based business increased 2.3% for the year and contract services revenue increased by 5.4% compared to last year. Our owned clinic rate increased 2% to $103 per visit compared to $101 last year, and patient visits declined by 2.1% compared to last year. Again the primary driver behind the decrease in visits was a transition of our Dallas outpatient clinics into the non-consolidating Baylor joint venture. During the year, approximately 77% of our outpatient revenue came from our owned and managed clinics and 23% from our contract services. 
 Overall adjusted EBITDA for the fourth quarter increased by 39.6% to $93.8 million compared to $67.2 million in the same quarter last year, with overall adjusted EBITDA margins at 13.1% for the fourth quarter compared to 10.5% margins for the same quarter last year. During the fourth quarter last year, we had some onetime expenditures that adversely affected our reported EBITDA, including $6.8 million in costs associated with the closing of the Regency corporate office and $900,000 of severance expense at Select's corporate office. 
 Overall adjusted EBITDA for the year increased 25.7% to $386 million compared to $307.1 million last year with overall adjusted EBITDA margins of 13.8% compared to 12.8% last year. The increase is primarily related to the addition of the Regency hospitals we acquired, and they contributed $45.9 million of the increase in adjusted EBITDA. 
 Additionally, last year, we had several onetime expenditures that adversely affected our reported EBITDA, including $9 million in costs associated with closing the Regency corporate office, $4.8 million in incremental healthcare cost, $4 million in workers' comp costs and $900,000 in severance expense. 
 Like Specialty Hospital adjusted EBITDA for the fourth quarter increased 27.6% to $89.3 million compared to $70 million in the same quarter last year. Adjusted EBITDA margins for the Specialty Hospital segment increased to 16.7% compared to 15% in the same quarter last year. The Regency Hospitals contributed $11.5 million of adjusted EBITDA and had a 13.6% adjusted EBITDA margin for the quarter.
 Specialty Hospital's adjusted EBITDA for the full year increased by 27.3% to $362.3 million compared to $284.6 million last year. Adjusted EBITDA margins for the Specialty Hospital segment increased to 17.3% compared to 16.7% last year. The Regency hospitals contributed $46.5 million of adjusted EBITDA and had 13.7% margins for the full year. 
 Outpatient rehabilitation adjusted EBITDA for the fourth quarter increased 9.4% to $18.6 million compared to $17 million in the same quarter last year. Adjusted EBITDA margins for the Outpatient segment increased slightly to 10.1% in the fourth quarter compared to 10% in the same quarter last year. For the clinic portion of our business, adjusted EBITDA was up 4.7% to $15.3 million and adjusted EBITDA margins were up 20 basis points to 11.3% compared to same quarter last year.
 For our contracts services, adjusted EBITDA was $3.2 million and margins were 6.6% in the fourth quarter compared to $2.3 million of adjusted EBITDA and margins of 6.2% in the same quarter last year.
 Outpatient rehabilitation adjusted EBITDA for the full year increased slightly to $83.9 million compared to $83.8 million last year. Adjusted EBITDA margins for the Outpatient segment decreased to 11.8% for the year compared to 12.2% last year. For the clinic portion of our business, adjusted EBITDA was up 9.9% to $71 million and adjusted EBITDA margins were up 90 basis points to 13% compared to last year. The primary driver behind the improvement in our clinic business was increased adjusted EBITDA and margin improvement in the clinics acquired in 2007 from HealthSouth and the increase in our net revenue per visit. 
 Our contract services adjusted EBITDA decreased to $12.8 million from $19.1 million last year, and margins were down 450 basis points to 7.8% compared to last year. The decline in contract services adjusted EBITDA and margin was a result of the significant contract we lost in the second quarter of last year and higher labor cost associated with regulatory changes that became effective last year. 
 I also want to provide a couple of updates since our third quarter earnings call last November. In January, we opened, in conjunction with our joint venture partner, SSM HealthCare, a new 60-bed rehab hospital in Bridgeton, Missouri. The new state-of-the-art facility will provide comprehensive inpatient rehabilitative care to patients with stroke, brain injury and spinal cord injury, amputation and neurological and orthopedic conditions. 
 Also as most of you are aware, Congress recently passed the latest installment of the Medicare SGR patch, sometimes also referred to as the Medicare doc fix. This latest extension will continue through December of this year. Like other LTAC hospital companies, we had hoped that Congress would use this bill as an opportunity to do more in terms of LTAC hospital certification criteria and clarification of some outstanding regulatory issues. Unfortunately, the LTAC provisions were not included in the bill. Our advisors have offered us a number of reasons for this result with 2 recurring themes: first, congressional leaders were determined to pass only a minimalist bill and the latest doc fix had extended provisions for only those statutes that had immediate expirations; second and related, since most of the LTAC issues do not face statutory expiration until December, Congress didn't sense much of an urgency around LTAC issues and continued to think that the LTAC hospital community had until December to deal with our issues. We remain hopeful that Congress will address our issues in the months ahead. 
 I would just note that in August of last year, 6 U.S. Senators introduced bipartisan legislation that would implement certification criteria for LTAC hospitals. Since then another 5 senators have cosponsored that legislation and are assisting us in Washington. Let me say, as I've said in the past, that the legislation would better define what types of facilities qualify for the LTAC hospitals and which patients should be admitted to them. The underlying policies of this legislation were developed by the American Hospital Association. We support the legislation in the effort to have Medicare program adopt clear LTAC standards. Given the uncertainty in Washington, it's not really worthwhile to prognosticate on the bill's chances of adoption or to comment on some of the specific provisions since it's very likely to be changed numerous times. From a business point of view, if the bill was passed and implemented, it would be a positive development since it would help clarify the distinct role that LTAC hospitals play in the continuum of care. 
 I'll talk -- now, I'll turn it over to Marty Jackson to cover some additional financial highlights for the quarter and the full year. 
Martin Jackson: Thanks, Bob. Good morning, everyone. For the fourth quarter, our operating expenses, which include our cost of service, general and administrative costs and bad debt expense increased 9.6% to $625.7 million compared to the same quarter last year. As a percentage of our net revenue, operating expenses for the quarter were 87.1% compared to 89.6% in the same quarter last year.
 For the year, our operating expenses increased 16.2% to $2.4 billion compared to last year. As a percentage of our net revenue, operating expenses for the year were 86.4% compared to 87.2% last year. Cost of services increased 10.8% to $599.7 million for the fourth quarter. As a percent of net revenue, cost of services were 83.5% for the fourth quarter compared to 84.9% in the same quarter last year. The improvement in our cost of service in the fourth quarter was primarily attributable to the improved performance of the Regency Hospitals when compared to the same quarter last year. 
 For the full year, cost of services increased 16.5% to $2.3 billion. As a percent of net revenue, cost of services was 82.3% for the full year compared to 82.9% last year. The primary reason for the improvement in cost of services, as a percent of revenue, were improvements in our Specialty Hospitals offset in part by increases in labor costs and our Outpatient Rehab segment. The increased labor in our Outpatient segment was driven primarily by marginal cost increases in our contract services business. 
 G&A expense was $14.7 million in the fourth quarter, which as a percent of net revenue was 2% compared to $20.3 million or 3.2% of revenue for the same quarter last year. In the fourth quarter last year, we incurred onetime expenditures of $6.8 million of Regency transaction cost and $900,000 in severance expense. Excluding these onetime items, G&A as a percent of net revenue would have been 2% in the fourth quarter last year.
 For the full year, G&A expense was $62.4 million, which as a percent of net revenue was 2.2% compared to $62.1 million or 2.6% of net revenue last year. During 2010, our G&A cost included approximately $9 million in expense related to the closing of the Regency corporate office, $4.8 million in incremental healthcare costs, $900,000 severance expense. During 2011 our G&A expense included $7.8 million in onetime expense related to the Columbus qui tam settlement and $5.4 million in a onetime gain from the sale of assets. Excluding these onetime items in both periods, G&A as a percent of net revenue would have been 2.1% and 2% in 2011 and 2010, respectively. 
 Bad debt, as a percent of net revenue, was 1.6% for the fourth quarter compared to 1.5% for the same quarter last year. Bad debt as a percent of net revenue was 1.8% for the full year compared to 1.7% last year. Our bad debt levels continue to be consistent with our expectations. 
 As Bob mentioned, total adjusted EBITDA was $93.8 million for the fourth quarter and adjusted EBITDA margins was 13.1% compared to adjusted EBITDA of $67.2 million and 10.5% of adjusted EBITDA margins in the same quarter last year. Total adjusted EBITDA was $386 million for the full year, and adjusted EBITDA margins were 13.8% compared to adjusted EBITDA of $307.1 million and 12.8% adjusted EBITDA margins last year. 
 Depreciation and amortization expense was $18.8 million in the fourth quarter and included an incremental $1.5 million depreciation expense related to an asset we previously had held for sale compared to depreciation and amortization expense of $17.4 million in the same quarter last year. Depreciation and amortization expense was $71.5 million for the full year compared to $68.7 million last year. The increase in depreciation and amortization was primarily the result of the full year effect of depreciation at the Regency hospitals. 
 Net interest expense was $24.1 million in the fourth quarter compared to $25.3 million in the same quarter last year. Net interest expense was $98.9 million for the full year down from $112.3 million last year. The reduction in interest expense is primarily related to the lower debt levels, lower interest rates on the portion to the debt that we refinanced during the second quarter of 2011 and the effects of interest rate swaps that expired in 2010. 
 The company recorded income tax expense of $14.2 million in the fourth quarter and $71 million for the full year, which represented an effective tax rate of 38.6% compared to an effective tax rate of 33.6% in 2010. Our 2011 rate was effectively reduced due to a release of reserves on uncertain tax positions related to our NovaCare acquisition. Our 2010 effective tax rate was below statutory rates due to the reversal of valuation allowances previously recorded on capital losses and release of reserves on uncertain tax positions.
 Net income attributable to Select Medical Holdings was $36.9 million in the fourth quarter, and fully diluted earnings per share were $0.25. Net income attributable to Select Medical Holdings was $107.8 million for the full year, and fully diluted earnings per share was $0.71. As Bob previously mentioned, this included a nonrecurring loss on early retirement of debt related to the refinancing we completed during the second quarter and excluded -- and excluding this onetime loss and the related tax effect, our adjusted earnings per fully diluted share would have been $0.84 for the full year, and this compares to $0.48 in 2010. 
 We ended the quarter with $1.4 billion of debt outstanding and $12 million of cash on the balance sheet. Our debt balances at the end of the year included $167.3 million of Hold Co senior floating rate notes, $345 million of the 7 5/8% senior sub notes, $838 million of term loans outstanding, which is net of the original issue discount, $40 million in revolver loans outstanding with the balance of $65 million consisting of other miscellaneous debt.
 Operating activities provided $73.2 million of cash flow in the fourth quarter and cumulative operating cash flow for the year was $217.1 million. Days sales outstanding, or DSO, was 53 days at the end of 2011 compared to 52 days at the end of September of 2011 and 51 days at the end of last year, 2010. This increase is principally related to the timing in the settlement of our Medicare accounts for services provided at our Specialty Hospitals. 
 Investing activities used $18.9 million of cash flow for the fourth quarter and $54.7 million for the full year. For the year, this includes $46 million for purchases of property and equipment, $15.7 million of investment in businesses and $900,000 in net acquisition-related payments, and this is offset in part by the sale of assets of $7.9 million for the year.
 Financing activities used $52.5 million of cash for the fourth quarter. The use of cash primarily resulted from $41.1 million for repurchases of common stock under our share repurchase program and $10 million in net repayments under our revolving credit facility. 
 Financing activities used $154.7 million of cash for the year. Use of cash resulted primarily from the refinancing activities in the second quarter and subsequent net repayments on our revolving credit facility of $85 million. Additionally, we repaid $72.8 -- we paid $72.8 million for the repurchase of common stock. 
 During the fourth quarter, we repurchased 5,209,160 shares of our common stock in the open market for a total cost of $41.1 million. During the full year, we repurchased 9,858,907 shares at a total cost of $72.7 million. Earlier this week, our Board of Directors authorized a $100 million increase in our share repurchase program to $250 million of capacity. For December, we have spent a total of $116.9 million of the now $250 million authorized under the program. I would like to close by reaffirming our 2012 business outlook initially provided in our January 6 press release. This includes net revenue in the range of $2.85 billion to $2.95 billion, adjusted EBITDA in the range of $390 million to $410 million and EPS in the range of $0.86 to $0.94 per share. 
 This concludes our prepared remarks. And at this time, we'd like to turn it back to the operator to open up the call for questions. 
Operator: [Operator Instructions] Your first question comes from the line of Frank Morgan with RBC Capital Markets. 
Frank Morgan: Just was hoping to get a little bit more color on the strong volume growth. I'm certainly not complaining here, but just any additional color. I know you implemented some new changes in your marketing initiatives, I believe in the third quarter, but how much of this do you think is a result of that versus just overall trends in the markets that you serve? And then on the rate side, obviously, good rate growth there. Anything above and beyond acuity that might be driving that? 
Robert Ortenzio: This is Bob. In terms of the increased volume, I really can't give you a lot of -- more color. I just would say that it's really not so much the medical trends as I think it has been the increased and renewed and focused strategy of our hospital operating group has just done a very good job of working in the local markets. As we talked about over this past year, that was a renewed focus, and I think we're seeing the results of it. 
Martin Jackson: Yes, on the rate side, Frank, the increase of the rate, we had both increases in our Medicare and our non-Medicare rates. Obviously, the increase on the Medicare side is really a function of acuity. On the non-Medicare, it's really a function of continuing to negotiate hard on the commercial rates. 
Operator: Your next question comes from the line of A.J. Rice with Susquehanna Financial Group. 
Albert Rice: A couple of questions if I may. Thanks for the commentary around the doc fix. I wondered, I guess the next indication we might get on it, anything related to the MMSEA expiration would be in the proposed rule, which will come out in the spring. Have you guys got any sense of whether CMS is likely to try to address anything regarding the expiration in that proposed rule or will they wait to see if legislation takes place this fall? 
Robert Ortenzio: A.J., it's a great question, and I would say that we have no idea. I mean the rule the last couple of years has been relatively routine, with some re-weighting and some other things. The fact that the current legislation expires in late December of -- I guess, could move CMS to make some commentary around that. But what they would say, we would have no idea. As you know, there are some provisions from the old CMS reg back in 2007 that come back in automatically with the expiration of the rule -- with the expiration of the legislation. So I really have no sense of that and probably will not. As you know, those rules are sometimes routine, and they sometimes have surprises in them. But they're always subject to a comment period before they go final. 
Albert Rice: Right. And I guess, obviously the industry probably would most prefer to have the patient criteria bill or certification, outside certification provision, a workable one implemented. Another scenario, other than just seeing everything expire that has obviously happened before, is just to have the current state of affairs extended for a year or 2 further. Is there any movement afoot at this point or when would people take that up? I mean are people talking about that at all at this point? 
Robert Ortenzio: Well, yes. I think they are in the industry. There takes some time, I guess, post the doc fix that just passed for the industry to regroup, for the AHA to have some discussions, to have the various larger and smaller LTAC companies to talk about the prospects, to really make an assessment of what the prospects would be to get patient facility criteria passed, or in the absence of that, perhaps an extension. Because as I have said consistently at the end of this year, I can only see 3 possible scenarios. Two that you've mentioned: one is the criteria and criteria legislation passes; the second is that they're an extension; and third is that there is just an expiration of the legislation. I think the third is probably the least preferable to everybody. And so it’d just be a question now over probably the next month or so to figure out what kind of initiatives should be undertaken and trying to measure the prospects of success. 
Albert Rice: Okay. To switch gears, talk operation for a second. Obviously, your Outpatient business turned in a good performance this quarter, certainly relative to expectations. I guess buried within that is the contract services business. We've seen some other guys who have contract services struggle because of the changes that were implemented in the nursing home industry October 1. Can you comment on -- it seemed like overall performance in that division was good, but was that subsegment impacted by what you saw? And sort of how -- what's the state of play in contract services these days? 
Robert Ortenzio: Yes, A.J., that's a great question. We have seen an impact due to 2 particular issues. Number one is the RUG IV changes that happened. The operators have done, I think, an outstanding job preparing for that, and I think they've done a good job implementing that. Now having said that, there are still some negative impact associated with that. The other issue they had was, and to a certain extent, it's really not an issue, they brought on a substantial amount of new business. And when you bring in new business, you really have to fine-tune how you basically operate with that business. So in essence, I suspect over the next couple of quarters, you're going to see some nice improvement on the contract therapy side because they're fine-tuning how they staff that business. 
Operator: Your next question comes from the line of Kevin Fischbeck with Bank of America Merrill Lynch. 
Kevin Fischbeck: I was wondering if you could maybe quantify some of the impacts of these items that might come back in if we don't get an extension of the moratorium. What would the impact to the company be of a 25% rehabilitation short-stay outlier issue? I guess the, with the neutrality adjustment, we'd have to know what the number CMS was thinking on that, but I guess maybe the first 2? 
Robert Ortenzio: Kevin, usually it's our practice to really not try to quantify things that are proposed or have some uncertainty to them. And I think as we go forth over the next couple of months, we'll be continuing to think about that and do some more analysis in here. Obviously, as we march closer to the 12/31 expiration of the current legislation, then we probably will need to give a little bit more guidance around what impacts could be and what mitigation factors. So at this point in time, we're really not comfortable putting -- hanging a lot of numbers on those because it's just really quite soon after this most recent doc fix, and we're going to continue now over the next couple of months to analyze it. So at this point, I don't think we're going to be putting definitive numbers on that. And when we do, they'll have a little bit more detail around them about what the gross impact would be and then also what a mitigation strategy is. I'm not comfortable putting out one without the other at this point. 
Kevin Fischbeck: Okay, I guess that makes sense. I guess the 25% rule though, I believe that some of that provisions may actually be in earlier in the year based upon the fiscal year of the facilities. Do you have any facilities that would potentially see that prop up before a doc fix could be reached? 
Robert Ortenzio: No, we have some facilities that start to phase in under that starting July. And I think we would say at this point that while there'll be some impact, it's not material. 
Martin Jackson: Kevin, as a follow-up to that, we're comfortable with the guidance that we proposed and that would incorporate that also. 
Kevin Fischbeck: Okay. And can you just give us how many facilities would transition over in July? 
Robert Ortenzio: Actually, I -- we actually don't have that. We looked at the financial impact, and as Marty says, it's baked into our guidance, but I couldn't tell you at this point how many of our 110, 111 LTACs actually that impacts. 
Kevin Fischbeck: Okay. And then the bad debt provision that was included in the doc fix, what kind of impact does that have on you guys? 
Robert Ortenzio: It's really not significant. 
Kevin Fischbeck: Okay, so it's not a big --  all right. And then, just any update or color on the JV program that you have going on? Anything you can say about Baylor and then what the pipeline looks like for additional deals? 
Robert Ortenzio: Well, I can tell you we continue to be very pleased with the progress of all the joint ventures, Baylor included, which is probably the biggest market that we're in a JV, and we continue to see growth in that market. We're very pleased as with SSM and Penn State. And we're looking to continue to do and add more services in each at those JV markets. As far as the pipeline, as you know, we've been frustrated with the pace to get new deals signed. We do have a number in the pipeline, and we continue to focus on those, but it's just difficult to predict when some of those may get across the finish line. And so we continue to work on them, and we continue to have what we think are some good opportunities out there. 
Operator: Your next question comes from the line of Gary Lieberman with Wells Fargo. 
Ryan Halsted: This is Ryan Halsted on for Gary. Just, I guess, a follow-up on the impact of the RUG rule change on your contract services business. I can appreciate the new opportunities. I was just curious what was the impact or what kind of impact have you seen from the OMRA assessment changes. How has that affected your therapists? 
Martin Jackson: I have no idea. 
Ryan Halsted: Okay. So there are -- I mean is there any sort of incremental costs that you're seeing? Has it been, is there any type of additional work that's involved that you've -- that's been a challenge? 
Martin Jackson: When you take a look at Q4 for contract therapy, I mean, the RUGS IV we've talked about and any other impact is all incorporated into that, and it's also incorporated into the guidance for 2012. 
Ryan Halsted: Okay. I guess then as far as your capital going forward, what kind of leverage do you anticipate going forward in '12 as you think about share repurchases and use of capital? 
Martin Jackson: We're going to be very opportunistic with the share repurchases. And we're generating a substantial amount of free cash flow, and whatever is not used for either share repurchase or potential acquisitions will go to pay down debt. And we think -- we continue to delever the company. So we're pretty comfortable with that. 
Operator: Your next question comes from the line of Miles Highsmith with RBC. 
Miles Highsmith: As I think about the extension of some of the MMSEA provisions versus having patient facility criteria put into place, potentially, sort of towards the end of this year, I know an extension would not be your first choice, but as I sort of think about that, if you as an industry were able to make that a modest saver with a moratorium on new LTAC build, am I right in thinking that would be a pretty reasonably doable outcome to just have that extension, instead if for some reason patient facility criteria were not put into place towards the end of this year, or has maybe has some things changed? Or should there be some other things that I should be considering that maybe [indiscernible] back when the last extension was done with MMSEA. And then, just -- that was for Bob, I guess. And second one just for Marty, if we're calculating loosely, your restricted pay capacity, I think we're coming up with still north of $500 million even after the $41 million of repurchases this quarter. Is that kind of the right zip code for that? 
Robert Ortenzio: Yes, Miles, Bob. Let me go first. Your question is a good one, but let me try to answer it 2 ways. One from a company preference. Yes, if -- we actually prefer criteria, but failing that an extension to give us more time to work with the various stakeholders in the government to get criteria and extension would be a solid second preference. If your question, or I'm sure part of your question is, is which is easier, is one easier than the other, a greater possibility of getting it accomplished. I think it's kind of hard to handicap that right now. Yes, the current doc fix was kind of -- you could argue, it was kind of a slimmed down, kind of must-do bill that reasonably short duration toward the end of the year. But when you consider that there's an election coming up in November, the doc fix expires again the end of December, we don't know whether you're going to have a lame duck administration or whether it's going to be a continuation. You don't know who are going to be the new committee chairs in the new year. If per chance, these are the Republicans and the Democrats take over one or the other chamber that they don't control right now. And so, there's so many of those cross currents that I think it's hard to handicap what the appetite will be for the legislators come December. And I can think of -- you can have a scenario under which it's just difficult to get anything done between the November election and the end of the year, in which case, we've seen some precedents where things have been kicked over into the next year and then made retroactive. It certainly happened with the doc fix, which was a hard deadline at December 31 of last year, but yet, was not passed until well into the new year. So that's why I made the comment at my prepared remarks that it's really just -- it's difficult to know. So we're going to stay close to it, but our preference is: one, criteria; two, extension. I do believe that long term for the industry patient facility criteria is the right thing to happen and as long as that takes, it's certainly still worthwhile to pursue it. And in the interim, if we can get extensions in order to give us more time to do that, that's really the main reason for an extension is really a bridge to criteria. And that was the goal back in 2007, and that was the direction of the Congress at that time, which was to provide a moratorium and a hold on some of the more draconian regulatory provisions to create a bridge toward the patient facility criteria. I think the AHA has done a very good job, and they'll continue to go back to work, but it's a difficult environment right now, and it's hard to predict. 
Martin Jackson: Miles, with regards to the baskets, your calculations on the bonds is a little generous. It's more in the $350 million range. 
Operator: Your next question comes from the line of Whit Mayo with Robert Baird. 
Whit Mayo: Most of my questions have been answered, but I've got one that maybe it's fair, maybe it's not. But if my math is right, it looks like your public float now is in the 30, low 30 million share range. And let's just say that your stock sits sort of in the $8 to $9 range. At that level, you can take down roughly half of the public float with the upside as authorization. And personally, I think it's a fairly savvy move, but obviously you'll have very limited float at that point, and effectively, a $100 million market cap. So maybe, Bob, if you could just sort of help us think about the strategy and how we should interpret the elevated buybacks? And it sometimes feels like you're just going private slow, so I just want to make sure I understand the thought process and the overall strategy here. 
Robert Ortenzio: The thought process is -- it's really, I think if you look at the history of the company with our capital, we've always been opportunistic. And if you look back even the last 10 years, we have made acquisitions with our capital even as recently as Regency. We're opportunistic. You'd see us do a significant acquisition maybe every 2 years. You've seen us buy back debt at times. We bought back the debt bonds when they were trading at $0.55 on $1. And we buy back the stock when we think that it's underappreciated. So we'll continue to do that. I think the increased authorization by the Board is a signal of confidence that we are prepared to use our available cash and capital to buy back stock, but we wouldn't hesitate to pivot and use our cash flow to make a thoughtful, smart acquisition or to buy back the debt if it was called upon. So we're constantly looking at the various valuations out there. I mean we're always looking at acquisitions, and we go through periods where acquisition prices are just really outside our reach. And we get bounced out of processes all the time because we're just not willing to pay the kind of multiples that either private equity or others are willing to pay, so we watch the bonds. We watch the stock, we watch the M&A market. So I think that, that's what you can continue to expect from us. When we think the stock is undervalued, we won't hesitate to be aggressive in purchasing it. And the same thing with an M&A transaction, if we find one. We think that we've demonstrated with virtually all of our acquisitions that we've proven that they create a great value for the company. And I don't think -- if you see the results of the Regency transaction and the EBITDA that it generated and where we said it was going to be and what we paid, I think we've demonstrated that as well. So I guess the word on that is really opportunistic. And yes, you do make a good comment and we get questions from time to time about the reduction in the float, but that really can't be our primary focus. Our primary focus is to allocate the capital where we think we're generating the best return for the shareholders. 
Whit Mayo: And I agree. Like I said , a very savvy move. I guess maybe a couple of just housekeeping items. Marty, what's a good tax rate for '12 and what's in guidance? 
Martin Jackson: I think in the 41% range, Whit, is a good number. 
Whit Mayo: Okay. And is there kind of a spot number for cash flow and CapEx? 
Martin Jackson: Yes. CapEx, you should think somewhere in the range of $60 million to $70 million. 
Whit Mayo: Okay, and cash flow, is there a good number to think about? Or I guess another way, is there a -- should we -- is there some working capital changes we should be aware of? 
Martin Jackson: No. I think if you're looking for free cash flow, probably somewhere in the neighborhood of 150 is probably a good number. 
Operator: Your next question comes from the line of Doug Simpson with Morgan Stanley. 
Doug Simpson: Marty, a lot of my stuff's been asked. But just as you think about some of the comments around reimbursement, the uncertainty, maybe just an update on sort of the conversations on the potential JV front. How you see those opportunities in light of some of the uncertainty around reimbursement looking out with the election and everything. 
Robert Ortenzio: Well, the uncertainty of reimbursement and the election obviously plays a factor in all providers' decision on what they do. So there's more -- I would say, that in general, large acute care hospitals and systems are continuing to have a focus on their post-acute care delivery system. The readmission penalties will begin to start to layer in, and so that is a focus. On the other hand, there is uncertainty around healthcare reform and accountable care organizations and bundling and demonstrations, and there may be some that want to take time before they make a big move until they have more visibility on what the future is. But that's the push and the pull always in healthcare and for the kind of systems that we want to do transactions with, they are large and thoughtful and have strategic plans and have lots of constituents that weigh in. So that's just our challenge that we need to overcome and sell the value of doing a transaction with us in the rehab, LTAC, post-acute, outpatient. And as I said before, the good news for us is we think we've been successful in the deals that we've done, and they are really great advertisements for doing future deals. But having said that, they still proceed slowly. 
Doug Simpson: Okay, okay, that's very helpful. Then maybe just one comment. I didn't hear you address the weather, and I know it's not a huge issue. But just the, sort of the mild winter we're having. How do we think about that for Q1 in terms of year-over-year volume differential? I'm thinking, obviously, more about the Outpatient side. 
Robert Ortenzio: The weather, I'll let Marty comment on it. But the weather this year certainly helped the Outpatient. Usually by this time, we have had some real significant lost patient visits because of weather. Certainly, last year was a big example of that. We had a lot of weather-related lost visits, and this year we had less of those. 
Martin Jackson: Yes, we have seen a nice uptick on the volume side, Doug, and I think a lot of that's attributable to the lack of severe weather. 
Operator: Your next question comes from the line of Robert Stevens with Pinebank Asset Management. 
Robert Stevens: Most of my other ones have been answered, but just one quick one. Just thinking of the state of the current capital markets. Have you guys thought about addressing your 2015 maturities, the 7 5/8% and the floaters? 
Martin Jackson: Yes, Robert. We're always taking a look at what's going on in the capital markets and how that pertains to changing what our capital structure looks like in particular to the 7 5/8% and the Hold Co floaters. 7 5/8% have really performed quite well over the past couple of months and, as I said, we're currently evaluating that. The floaters we think are a very good deal for the company right now, and I suspect we'll keep that in place for a little while longer. 
Operator: Having no further questions in queue, I'd now like to turn the call over to management for closing remarks. 
Robert Ortenzio: We're pleased with the results of the fourth quarter and the year end. And we thank you for joining us on this call and look forward to updating you after the end of the first quarter. 
Operator: Thank you for joining today's conference. That concludes the presentation. You may now disconnect, and have a great day.